Operator: Good afternoon, and welcome to today's Clipper Realty Q1 Earnings Call. At this time, all participants have been placed on a listen-only mode, and we will open the floor for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Lawrence Sava. Lawrence, the floor is yours.
Lawrence Sava: Good afternoon, and thank you for joining us for the First Quarter 2024 Clipper Realty Inc. Earnings Conference Call. Participating with me on today's call are David Bistricer, Co-Chairman of the Board and Chief Executive Officer; and JJ Bistricer, Chief Operating Officer; and Larry Kreider, Chief Financial Officer. Please be aware that statements made during the call that are not historical may be deemed forward-looking statements, and actual results may differ materially from those indicated by such forward-looking statements. These statements are subject to numerous risks and uncertainties, including those disclosed in the company's 2024 annual report on Form 10-K and the first quarter 2025 quarterly report on Form 10-Q which is accessible at www.sec.gov and on our website. As a reminder, the forward-looking statements speak only as of the date of this call, May 12, 2025, and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures, including adjusted funds from operations, or AFFO; adjusted earnings before interest, taxes, depreciation and amortization or adjusted EBITDA; and net operating income, or NOI. Please see our press release, supplemental financial information and Form 10-K posted last Friday for a reconciliation of these non-GAAP financial measures posted earlier today for a reconciliation of those non-GAAP financial measures with the most directly comparable GAAP measures. With that, I will now turn the call over to our Co-Chairman and CEO, David Bistricer.
David Bistricer: Thank you, Lawrence. Good afternoon, and welcome to the first quarter 2025 earnings call for Clipper Realty. I will provide an update on our business performance and some new developments after which JJ will discuss property level activity, including leasing performance and Larry will speak to our quarterly financial performance. We will then take your questions. I am pleased to report we are reporting excellent operating results once again, including record revenue and record residential rents. As seasonally adjusted, we had near record net operating income and AFFO in the first quarter which always has lower income levels due to higher winter heating costs. The main driver was high rental demand. Overall, rents are generally at all-time highs and continue to increase and we are nearly fully leased. In the first quarter, new leases exceeded prior rent by over 15% across the entire portfolio as JJ will enumerate in detail. Construction on 953 Dean Street, a ground up development in Brooklyn, is substantially complete on time and on budget. Leasing will commence June 1st in time for the summer season. The land was purchased in 2021 and 2022 to build a nine story fully amenitized building. 160,000 residential rentable square feet, 240 units, 70% free market and 30% affordable. 57 parking spaces and 19,000 commercial rental square feet. Last week the company refinanced the construction loan at this property with a new loan of $160 million when fully funded. The new loan will provide $18.2 million of excess proceeds to be used for interest, operating expenses and working capital. Our other ground up development project, Pacific House at 1010 Pacific Street in Brooklyn is stabilized contributing to cash flow after a year of full operation. We have also entered into definitive contracts to sell 10 West 65th Street in Manhattan for $45.5 million which we expect will generate approximately $12 million after payments of debt and cost. We expect the transaction to close in the second quarter. We had sought to sell the property because of our 2017 purchase acquisition plan. The growth managed units to free market was restricted by the 2019 Housing Stability and Protection Act. At 141 Livingston Street leased to the city, we have received a five-year renewal which the company is processing. Regarding our first quarter results, we are reporting record quarterly revenue of $39.4 million, a 10.2% increase over last year, excellent NOI of $21.8 million, an 8% increase, an AFFO of $8 million, a 36% increase as a result of strong leasing I just mentioned. These results represent improvements over the first quarter last year and JJ and I will further detail. I will now turn the call over to JJ who will provide an update on operations.
JJ Bistricer: Thank you. I am pleased to report that our residential leasing at all properties is very strong and they are 99% occupied. Rents are at record levels, and recording increases over previous levels. Overall new lease rental rate at residential properties in the first quarter exceeded previous rents by over 15% and renewals by 8%. We expect residential leasing to remain strong in the foreseeable future as demand remained high and the overall rental housing supply remains constrained. As of the end of December, Tribeca House had occupancy of 99%, overall rent per foot over $83 per foot and new rent at $90 per foot. The Clover House property had occupancy of 99%, average overall rent of $87 per foot and new leases of $94 per foot. Our recently completed Pacific House property, consisting of a blend of free market and rent stabilized tenants, had occupancy of 98% and free market rents of $70 per foot on new leases. Our other residential properties at 10 West 65th Street, Aspen and 250 Livingston Street continued to perform at record levels with average occupancy above 98% and new rent and renewals 4% higher compared to previous leases. We also look forward to beginning leasing at the newly completed 953 Dean Street ground up development described earlier. Lastly, at the large of Flatbush Gardens property, we had good performance operating under the agreement made with the Housing Preservation Department of New York City at the end of June 2023. Using the full abatement of real estate taxes beginning last July and other rent supplements, we are aggressively dealing with the maintenance issues and capital improvements. Overall average rents at the property collected from all sources for the property have risen 15% to $30.8 per foot at the end of the quarter. Rent collections across our portfolio remain strong with overall collection rates in the first quarter on all residential properties at nearly 98%. Collections at Flatbush Gardens were over 95% as we responsibly and steadily work through the system to minimize arrears. Looking ahead, we remain focused on optimizing occupancy pricing and expenses across the business to best position ourselves for growth. I will now turn the call over to Larry who will discuss our financial results.
Lawrence Kreider: Thank you, JJ. For the first quarter, we achieved record revenues which increased to $39.4 million from $35.8 million last year, an increase of $3.6 million or 10%. NOI increased to $21.8 million from $20.2 million last year, an increase of $1.6 million or 8%, and AFFO increased to $8 million from $5.9 million, an increase of $2.1 million or 36%. For the first quarter, residential revenue increased to $29.2 million by $3.1 million. This increase was due to strong leasing for all properties as previously discussed. Occupancy and rental rates were at all-time highs in the quarter. Commercial revenue was higher by $0.6 million in the quarter compared to last year, as we continue to fill smaller retail vacancies at Tribeca House and Aspen properties all at favorable rates. On the expense side, the year-over-year changes in the quarter were as follows: Property operating expenses increased by $1.5 million year-on-year substantially all at Flatbush Gardens. The increase is due to higher payroll costs for newly hired repairs and maintenance workers, substantially offset by lower third-party repairs and maintenance expenses; higher legal costs for tenant collections and higher utilities costs. Real estate taxes and insurance increased by $293,000 in the first quarter year-on-year due to routine increases in real estate taxes and insurance at properties other than Flatbush Gardens or property taxes which were fully abated under our agreement with New York City in July 2023. General and administrative expenses were higher by $274,000 due to higher non-cash amortization of executive long-term incentive securities, partially offset by lower legal costs. Interest expenses decreased by $216,000 in the first quarter year-on-year due to slightly lower rates on our limited amount of variable rate debt. The $33.8 million charge of impairment of long-lived assets results from the assessment of the high likelihood of selling the 10 West 65th Street property that David described earlier, based on a contract signed in early April expected to close in the second quarter. The transaction should generate $12 million after paying existing debt and closing costs. As a result of the 2019 New York City Rent Act, he mentioned, we were not able to raise rents as expected following the 2017 acquisition despite investing in the property. With regard to our balance sheet, we have $21.3 million of unrestricted cash and $17.8 million of restricted cash. In the first quarter, we had no new debt activity other than the last draws under the Dean Street property construction loan we entered in the first quarter of 2023. However, as David mentioned, in April we closed the two-year bridge loan for the Dean Street property. It bears a lower interest rate and should provide funds to cover carrying costs through stabilization and put working capital on the balance sheet. As to the continued high interest rate environment, we believe the higher rates make for higher tenant demand for our rental product. We are also buttressed by the relatively long duration of debt or operating properties. Our operating debt is 89% fixed at an average rate of 3.87%, an average duration of 4.1 years is non-recourse, subject to limited standard carve outs and is not cross collateralized. We finance our property on an asset-by-asset basis. Today we are announcing a dividend of $0.095 per share for the first quarter, the same amount as last quarter. The dividend will be paid on July 11, 2025 to shareholders of record on May 27, 2025. Let me now turn the call back to David for concluding remarks.
David Bistricer: Let me just correct the statement. The dividend will be paid on June 11, 2025. Thank you, Larry. We remain focused on effectively operating our portfolio. We look for our current operating improvements to continue through 2025. We look forward to the opening of Dean Street development, finalizing the 10 West 65th Street sale, finalizing the 141 Livingston Street lease, resolving the 250 Livingston Street, upcoming vacancy and capitalizing on other possibilities that may present themselves. I would now like to open the line for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And we have a question from Buck Horne from Raymond James. Buck, your line is live. Please go ahead.
Buck Horne: Hey, thanks. Good afternoon, guys, and congratulations. Just wondering if you'd like to comment on the 141 Livingston lease and just terms of add any additional color or details on the renewal, and potential new lease rates and/or additional tenant improvements that may be required for the building.
David Bistricer: The current proposal, there's no TI, that's going to be necessary. And we hope to get that finalized in the next couple of weeks.
Buck Horne: Okay. Thank you, guys.
David Bistricer: You're welcome.
Operator: Thank you. [Operator Instructions] And there are no further questions in queue. I'd now like to turn the floor back to management for closing remarks.
End of Q&A:
David Bistricer: Thank you for joining us today. We look forward to speaking with you again soon.
Operator: Thank you so much. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.